Operator: Good morning. My name is Betsy, and I will be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group Third Quarter 2023 Earnings Call. [Operator Instructions]. Please note this event is being recorded. Mr. Blake Mueller with FTI Consulting, you may begin.
Blake Mueller: Thank you, Betsy, and good morning, everyone. Welcome to the EMCOR Group conference call. We are here today to discuss the company's 2023 third quarter results, which were reported this morning. I would like to turn the call over to Kevin Matz, Executive Vice President of Shared Services, who will introduce management. Kevin, please go ahead.
Kevin Matz: Thank you, Blake, and good morning, everyone. And as always, thank you for your interest in EMCOR, and welcome to our earnings conference call for the third quarter of 2023.  For those of you who are accessing this call via the Internet and our website, welcome as well. We hope you have arrived at the beginning of our slide presentation that will accompany our remarks today.  We are on Slide 2. This presentation and discussion contains forward-looking statements and may contain certain non-GAAP financial information. Page 2 describes in detail the forward-looking statements and the non-GAAP financial information disclosures. I encourage everyone to review both disclosures in conjunction with our discussion and accompanying slides. Slide 3, excuse me, depicts the executives who are with me to discuss the quarter and 9 months results. They are Tony Guzzi, Chairman, President and Chief Executive Officer; Mark Pompa, our Executive Vice President and Chief Financial Officer; Maxine Mauricio, Executive Vice President and General Counsel; and it's my pleasure to welcome Andy Backman to the call. Andy is our new Vice President, Investor Relations. Andy is an IR pro with over 40 -- 20, not 40, 20 years in the IR space. Again, welcome, Andy. It's good to have you on the team.  For call participants not accessing the conference call via the Internet, this presentation, including the slides, will be archived in the Investor Relations section of our website under Presentations. You can find us at emcorgroup.com. With that said, please let me turn the call over to Tony.
Anthony Guzzi: Thanks, Kevin, and good morning to everybody, and thank you for joining our call. I'm going to start on Pages 4 through 6. In my remarks, I will focus on the third quarter primarily, and Mark will speak in more detail on our quarterly and year-to-date results. At the end of my remarks, I will discuss some of the key drivers of our performance.  Today, we are announcing a series of record quarterly achievements, revenues, gross profit, operating income, operating income margin, diluted EPS and remaining performance obligations or RPOs. Driving this performance is strong end market demand for our services, especially in semiconductors, data centers, manufacturing, health care and retrofit projects. This demand, coupled with excellent execution, has produced outstanding results, not only a quarterly basis but also for year-to-date 2023.  For the third quarter, we earned $3.61 in non-GAAP earnings per diluted share on $3.21 billion in revenues. We grew revenues 13.5% overall with 12.8% organic revenue growth.  We had an adjusted operating margin of 7.4%, which is exceptional by any measure. However, I would like to remind you that margins can fluctuate quarter-to-quarter based on the mix, execution and timing of projects, most of which worked in our favor this quarter. Our operating cash flow for the third quarter was strong at $261 million, which represents over 100% operating income conversion. On a year-to-date basis, we generated $476 million in operating cash flow, which represents a conversion of 81%.  Our RPOs are an all-time high of $8.6 billion, which represents -- excuse me, represents 4.2% sequential growth from June 30, 2023, and 21.6% growth over the year-ago period. This was exceptional performance by an extraordinary team.  On a segment basis, we had excellent performance in our Electrical and Mechanical Construction and U.S. Building Services segment. The operating results of our Industrial Services segment continue to improve at a modest pace. And despite difficult economic conditions, our U.K. Building Services segment is reporting operating income and operating margin which is greater than a year-ago period.  The continued strength of our Electrical and Mechanical Construction segments is evidenced by quarterly revenue growth of 10.1% and 19.9%, respectively. With Mechanical Construction operating margin of 10.4% and Electrical Construction operating margin of 9.1%, the conversion from revenue to operating income by these segments has exceeded our expectation.  We had excellent execution and great project mix. Across the country, we continue to complete some of the most sophisticated projects in markets such as the high-tech manufacturing sector, which includes semiconductors, the EV value chain, biotech, life sciences and pharmaceuticals, the EV value chain and the network and communications sector, which encompasses our data center work; the manufacturing sector, which is driven by reshoring and domestic capacity expansion as well as the healthcare sector. Our industry-leading capabilities in BIM, prefabrication, project planning and labor sourcing and the management of that labor and the training of that labor enable us to perform for our customers while also achieving superior financial returns. Our mechanical product offering is broad across applications such as HVAC, process, piping, plumbing and fire protection and fire life safety. We are operating in the key geographies where such projects are in process, and our fire life safety group has the capability to move across the country.  Our customers look to us to perform complex installations in the markets I just referenced. Our Electrical Construction team has deep expertise in the data center market as well as our Mechanical Construction team, which allows us to serve our customers with the right solution delivered under the most demanding schedules with excellent outcomes for our customers.  As I have mentioned on earlier calls, our segment and subsidiary management teams are leading in an exceptional manner. And they're allocating resources in a thoughtful and pragmatic way while working towards outstanding outcomes for our customers and for you, our shareholders, and that's how they produce these outstanding financial results. Our U.S. Building Services segment continues to perform well and has a strong mix of work across its service lines. The segment's revenues grew 13.7% in the third quarter with an operating margin of 7%.  Demand persists for our mechanical services with excellent execution across retrofit projects, building controls and maintenance and repairs. We are working across a variety of end markets, including traditional and high-tech manufacturing. And our institutional and commercial customers remain focused on energy efficiency and IAQ upgrades. We did experience a strong repair service season because of the heat that blanketed most parts of the country over this past summer. The Mechanical Services business is driving the robust performance of the segment on a quarterly and year-to-date basis, and the overall trends for this business remain positive. The site-based services division continues to deliver entering into multiyear facility maintenance contracts to leverage our self-perform operating model for skilled trades people and operating engineers. As a result, there continues to remain areas of growth in this -- there continue -- remains opportunities for growth for this service line. However, these contracts take some time to ramp up. And scope for these contracts can expand, reduce or return [indiscernible] over time and upon rebid.  Our Industrial Services segment continues to improve at an expected pace. It is important to remember that the third quarter is typically a weak quarter for field services, contributing to the near breakeven operating income reported by this segment this quarter.  We anticipate executing a fall turnaround season that is comparable to the prior year, and demand for our new services is robust. We are experiencing increased levels of capital spending, which then drives demand in our shop services division in the form of greater new build heat exchange orders. We continue to wait for the resumption of demand for utility scale solar projects, which continues to be affected by supply chain issues. And we are well positioned to perform such projects when these issues subside.  Our U.K. business continues to perform in a manner consistent with the available market opportunities. Building on its normal base of facility services contracts, EMCOR U.K. continues to perform various project work for its customers. Much of that work is aimed at helping them develop and implement multiple multiyear energy reduction programs. Although we experienced a reduction in quarterly revenues within this segment, we are executing well as shown by the 8% operating margin during the quarter. Our balance sheet remains strong, supporting both our organic growth and the capital needed to invest in such growth, whether through expanding our prefabrication capabilities or investment in BIM, automation and robotics. We also have the firepower to make bolt-on acquisitions that help us expand our capabilities in support of our customers. Great quarter.  And Mark, I'll let you talk about the rest of it.
Mark Pompa: Great. Thank you, Tony, and good morning to everyone participating on the call today. We are now on Slide 7 for those of you who are accessing this presentation via the webcast. Over the next several slides, I will augment Tony's opening commentary on EMCOR's third quarter performance as well as provide a brief update on our year-to-date results through September 30. All financial information referenced this morning is derived from our consolidated financial statements included in both our earnings release announcement and Form 10-Q filed with the Securities and Exchange Commission earlier today. So let's revisit and expand our review of EMCOR's third quarter performance.  Consolidated revenues of $3.21 billion are up $381.2 million or 13.5% over quarter 3 2022. Each of our domestic reportable segments experienced revenue growth during the third quarter. Excluding $20.4 million of revenues attributable to businesses acquired pertaining to the time that such businesses were not owned by EMCOR in last year's quarter, revenues for the third quarter of 2023 increased 12.8% when compared to the third quarter of 2022.  Before reviewing the operating results of our individual reporting segments, I would like to reiterate what Tony highlighted earlier that our $3.21 billion of quarterly revenues represents a new all-time quarterly revenue record for the company and eclipses the previous record set during the second quarter. The specific to each of our reportable segment's third quarter revenue performance is as follows. United States Electrical Construction segment revenues of $697.4 million increased $64 million or 10.1% from quarter 3 2022. Excluding incremental acquisition revenues, this segment's revenues grew 8.1% organically quarter-over-quarter. Consistent with its second quarter performance, the segment continues to experience revenue growth across most of the market sectors that they serve. Such quarterly revenue growth was most prevalent within the network and communications, healthcare, manufacturing and industrial and hospitality and entertainment market sectors.  Revenues of our United States Mechanical Construction segment of $1.33 billion increased $221 million or a strong 19.9% from the year-ago period. This revenue growth continues to be driven by increased activity within the high-tech manufacturing, traditional manufacturing, network and communications and commercial market sectors. Consistent with its performance during the first 6 months of the year, this segment is experiencing growth in both fire and life safety as well as traditional mechanical services. Increased demand is stemming from customer projects supporting the design and manufacturing of semiconductors as well as the production and development of electric vehicles and/or related battery technologies. This, in conjunction with further data center development opportunities as well as the domestic reshoring of critical supply chain by certain of our customers are all contributing factors to the Mechanical Construction segment, establishing a new all-time quarterly record of revenue during the third quarter. Our combined United States construction revenues of $2.03 billion increased $285 million or 16.4%, crossing the $2 billion quarterly revenue threshold for the first time and establishing a combined all-time quarterly revenue record for construction services. United States Building Services revenues of $817.7 million increased $98.3 million or 13.7%, representing a new all-time quarterly revenue record for this segment. Excluding incremental acquisition revenues, the segment's revenues grew 12.6% organically. Revenue growth was experienced across each of the 3 divisions with the largest contribution coming from mechanical services. Specifically, we benefited from an increase in HVAC project and retrofit revenues due to increased availability of equipment and materials when compared to 2022, which faced greater supply chain delays. There also continues to be strong demand for certain of the segment's service offerings as our customers seek ways to improve the energy efficiency and/or indoor air quality of their facilities. Lastly, both the segment's commercial and government site-based services divisions experienced incremental project revenues in the third quarter of the current year as a result of new customer additions or scope and site expansion with existing customers. EMCOR's Industrial Services segment revenues of $252.2 million increased $4.9 million or 2% quarter-over-quarter. Although not as substantial as the revenue growth of our other domestic reporting segments, we are pleased by the trend of period-over-period growth that this segment has achieved the last few years despite the sustained headwinds within the oil and gas industry. Contributing to the growth in the current quarter was a resumption of capital spending by several of our customers in the form of increased new build heat exchanger orders as well as certain renewable fuel projects. United Kingdom Building Services segment revenues of $110.7 million represents a reduction of $7 million or 5.9% from last year's third quarter. The period-over-period revenue decline is a result of the nonrenewal of certain facilities maintenance contracts, which were still active in 2022 as well as the reduction in project activity as certain of this segment's customers have slowed their capital spending programs in light of the macroeconomic headwinds within the United Kingdom. Please turn to Slide 8. Reported operating income for the quarter was $235 million or 7.3% of revenues and favorably compares to $150.1 million of operating income or 5.3% of revenues a year ago. Consistent with my revenue commentary and Tony's opening remarks, the current quarter's consolidated operating income and operating margin each represent new all-time quarterly records for EMCOR.  Included within our reported operating income is a small impairment charge of $2.4 million related to certain long-lived assets within our United States Mechanical Construction segment. On an adjusted basis, if such impairment charge was excluded, third quarter 2023 non-GAAP operating income would be $237.3 million or 7.4% of revenues. Specific operating performance by segment is as follows. Our U.S. Electrical Construction segment earned operating income of $63.1 million, an increase of $27.6 million from the comparable 2022 period. The reported operating margin of 9.1% represents a significant increase from the 5.6% reported in last year's third quarter. Exceptional project execution, which Tony previously commented from each of our operating companies, coupled with a favorable revenue mix when compared to the 2022 period were the primary drivers of this performance. Such improved execution is demonstrated by a reduction of project write-downs as compared to last year's third quarter where certain discrete write-downs totaled $10.5 million and negatively impacted this segment's 2022 operating margin by 170 basis points.  Besides a reduction in write-downs, this segment's operating income and operating margin for the third quarter of 2023 benefited from the successful closeout of certain projects, which positively impacted its operating margin in the quarter by 60 basis points. Third quarter operating income of our U.S. Mechanical Construction segment of $138.5 million represents a $48 million increase from last year's quarter and operating margin of 10.4% represents 220 basis points of improvement from 2022's third quarter. Growth in both gross profit and gross profit margin due to a more favorable revenue mix, including a higher percentage of self-performed projects, were the most significant contributors to this overall improved performance. Additionally, in the Mechanical segment's operating income and operating margin for the quarter benefited from the successful closeout of certain projects, which resulted in 40 basis points of incremental operating margin. Operating income for U.S. Building Services is $57.2 million or 7% of revenues and compares to $46 million or 6.4% of revenues in 2022's third quarter. Similar to the growth in the segment's revenues, the increases in operating income and operating margin were driven by the segment's Mechanical Services division. Notably, we experienced favorable project execution of HVAC projects and retrofits as well as incremental building automation and controls activity. Our U.S. Industrial Services segment incurred an operating loss of approximately $200,000, which compares favorably to an operating loss of $1.4 million in last year's third quarter. As I have referenced in prior years and consistent with Tony's comment, quarter 3 is historically our Industrial segment's weakest quarter. However, we are encouraged by the trend of quarterly improvement within this segment, and we remain ready to assist our customers as they execute their maintenance and capital spending programs. U.K. Building Services operating income of $8.9 million or 8% of revenues represents an increase of $500,000 and a 90 basis point improvement in operating margin. The performance of this segment is impressive considering the reduction in quarterly revenues previously discussed and demonstrates the strength of its portfolio of facilities maintenance contracts.  We are now on Slide 9. Additional financial items of significance for the quarter not addressed on the previous slides are as follows. Quarter 3 gross profit of $545.5 million represents an all-time quarterly gross profit record for the company and is higher than the comparable 2022 quarter by $132.2 million or 32%. And gross margin of 17% has improved 240 basis points. Selling, general and administrative expenses of approximately $308.1 million represent 9.6% of revenues and reflect an increase of $45 million from quarter 3 2022. SG&A for the current year's quarter includes approximately $4.2 million of incremental expenses from businesses acquired inclusive of intangible asset amortization, resulting in an organic SG&A increase of $40.8 million. This quarter's organic growth in SG&A was due to incremental expense pertaining to incentive compensation programs across the majority of our reportable segments. This is due to higher operating results to date when compared to the prior year as well as our revised profitability projections for full year 2023, which have necessitated our third upward revision in our annual earnings guidance. Tony will speak to our revised guidance range in detail following the conclusion of my commentary. Besides incentive compensation, we have experienced quarter-over-quarter growth in our personnel costs due to our continued double-digit organic revenue growth, which has necessitated increased headcount to support our back office and contract administration functions coupled with annual cost of living increases for our existing workforce. We have also experienced an escalation in occupancy costs due to inflationary pressures in the real estate market. Diluted earnings per common share in the third quarter of 2023 is $3.57 as compared to $2.16 per diluted share for the prior year period. On an adjusted basis, excluding the impact of the previously mentioned long-lived asset impairment charge, non-GAAP diluted earnings per share was $3.61, which represents a $1.45 or 67.1% increase when compared to the $2.16 reported in last year's quarter. As Tony mentioned in his introductory remarks, our third quarter diluted EPS performance on either a GAAP or non-GAAP basis represents a new all-time record for EMCOR by a large margin.  Please turn to Slide 10. With the quarter commentary complete, I will touch on some highlights with respect to our results for the first 9 months of 2023. Revenues of $9.14 billion represent an increase of $1.02 billion or 12.5%, of which 11.3% was generated from organic activities.  Operating income of $586.6 million or 6.4% of revenues represents a 51.3% increase from the results for the first 9 months of 2022. We have experienced improved operating income and operating margin in each of our domestic reporting segments.  Our year-to-date diluted earnings per share was $8.85, which compares to $5.50 in the corresponding 2022 period. Adjusting the current year to include the previously referenced impairment loss results in a non-GAAP diluted earnings per share of $8.88. Comparing this adjusted number to last year's reported EPS represents an improvement of 61.5% year-over-year. With substantial growth in our year-to-date net income plus the reduction in weighted average shares outstanding due to our share repurchases, EMCOR has been able to generate significant EPS growth. We are now on Slide 11. EMCOR's balance sheet maintains its strength and liquidity. And we continue to be well positioned to fund organic growth, return capital to shareholders and pursue strategic M&A opportunities. Fluctuations of note when compared to December of 2022 are as follows. Cash on hand increased by just over $67 million. Our exceptional operating cash flow was partially offset by cash used for financing activities of $276.2 million, given a repayment of $142.8 million on our term loan and just over $105 million for the repurchase of our common stock as well as cash used for investing activities of $134 million as a result of capital expenditures and acquisitions to date. Resulting primarily from our organic growth during the period, our working capital balance has increased by nearly $128 million. The $34.2 million increase in goodwill is entirely a result of the 7 acquisitions completed by us thus far in 2023 while net identifiable intangible assets have increased by $6.8 million as the additional intangible assets recognized in connection with such acquisitions were partially offset by $49 million of amortization expense in the first 9 months of the year. Total debt, exclusive of operating lease liabilities, has decreased by $143.2 million, almost entirely as a result of the previously mentioned $142.8 million voluntary principal payment made on our term loan. Our stockholders' equity balance has increased by $305.7 million as our net income for the 9-month period exceeded our share repurchases and dividend payments to date in 2023. EMCOR's debt to capitalization ratio has reduced to 4.4% from 11.1% at year-end 2022, given the reduction in borrowings under our credit agreement as well as the increase in stockholders' equity just referenced. With my prepared commentary for the third quarter now completed, I would now like to return the call back to Tony. Tony?
Anthony Guzzi: Thanks, Mark. And I'm going to be on -- thanks, Mark. I'm going to be on Page 12. And look, we put this page in the last time, and we really got a lot of great feedback from our investors. And I like this page because it really talks about what's driving our business from a macro level and a micro level because there's some micro drivers in here.  And these opportunities on this page is really what's driving our organic growth. It's been very strong. I mean, when you think about 12.8% organic growth in the quarter, you say what's driving that? It can't just be business as usual to do that.  So if you go on this page, we're going to go left to right across the top of the box and then start over again on the bottom and go left to right, and we'll draw interconnections where appropriate. Let's talk about electrification in the EV value chain. We, as a management team, have done a lot of work around energy transition and the thought process behind it. I think we -- I know I personally landed on, this is not just an energy transition. It's an energy expansion because if you really want to fund other than the bottom-right box the rest of these things, you need more energy.  And -- but we're going to have to do it not with just traditional sources. We're going to have to do it with traditional sources, renewable sources. There's going to be a lot of investment. There is a lot of investment. On the transition side, some of that investment has been held up by supply chain. That's not going to break easily, right, because things like transformers, inverters. You hear a lot about the panels, but the other ones are just supply chain issues where things have been pushed out 18 to 36 months for some products. But there's a lot of work going on around transition and to be prepared about that transition. Where we're going to play in that is supporting some of that transition. And then also on the electric vehicle and battery plant construction, there's a lot of discussion around this. So at the highest level, this trend right now is probably impacting our current results less than any of the other trends that you see on this page. But it is a trend that will impact our results. We're also going to be a user of some of these transition vehicles, right, whether they be hybrids or whether they be battery powered over time. So we're going to be in the construction, the supply chain of those plants that are going to support the EV plants and then also the battery plant construction. EMCOR has always been very careful of how we service the automotive sector, and we'll continue to be so. Right now, this is an electrical and fire life safety and fire protection opportunity for us, but it will expand beyond that. We do expect there to be more utility grade the way we think about it, massive number of charging stations at one location. We've done some of that and some of the big warehouses that have been built. But we haven't seen that proliferation yet, but we expect to -- for a lot of the last-mile delivery, a lot of these mass charging stations make a lot of sense. They're also supported by government incentive. So you sort of separate the noise of what's going on today, there's going to be a slower pickup. A lot of the things we do along this are for the infrastructure that's going to allow things that happen at a later date. And again, it's the box of all of these that's impacting our current results the least. You go in to say high-tech manufacturing, life sciences, and you got to sort of drag that bottom-middle box up into it because it's also a reshoring, nearshoring issue. We are very active in the semiconductor space, and we're in a lot of the right markets, both mainly mechanically but somewhat electrically in fire protection in the mechanical business as well as just straight mechanical work. And in some cases, we operate on the clean side, the high-purity piping and other places, we're doing both. We're doing the -- we call it the dirty side, but as far from dirty, it's the infrastructure to support that semiconductor plant. We're also doing some of the low-voltage offerings, and we have a pretty robust position in fire life safety and fire protection in those semiconductor plants. And then there's a whole ecosystem around those semiconductor plants that's built to support those semiconductor plants. And in that case, we're doing some of that work, but those are actually more significant maintenance opportunities for us versus semiconductor plants. On the pharma, biotech, life sciences, we are seeing it. We're seeing it in 2 ways. One is the reshoring, and we're seeing it also in the expansion of opportunity, right? These weight loss drugs are causing whole new plants to be built. And that's especially true in some of the hubs where we're most effective, whether that be New Jersey, Research Triangle Park or out into Southern California. And that links to nearshoring, especially for some of the plants that are being built to break the dependence on China and even India for pharmaceutical compounds. Government incentives continue to support that momentum, especially on the semiconductor side, but a lot of that was happening. What the government incentives will do is to elongate that cycle and bring more surety to that demand.  When you get to data centers and connectivity, this is something we're pretty good at, right, both mechanically, electrically and fire protection, life safety. We're good at it. And so the demand drivers are -- they've been ubiquitous, and then AI just adds another boost to it.  So go back to that first box, where we talked about electrification and energy transition. A data center uses a lot of power up to 50 to 100 megawatts. So to put that in perspective, 5,000 homes use less than 200 megawatts, and they use it intermittently. A data center is using 60 to 100 megawatts. So half of what 5,000 homes would do, it has to be continuous. It has to be clean. It has to be pure. And so if you think about that and then you think about where they're being built, we're in really good shape, both mechanically and electrically. I'd say we do data center construction as good as anybody in the country for those specialty trades and we're linked with the right customers.  And there, you're also thinking about how you make them better for the owner, how you get the schedule quicker and how you continue to drive all across the top here, prefabrication, BIM, to allow a solution to be ready to be built. And we're always thinking about the value add we can do with design assist to help them get to the best cost solution for their data center needs.  Great team here. We're active in about 5 or 6 markets. And we continue to look opportunities to support our customers, both from the GC and construction manager side but also the 5 major end owners that use these data centers.  You get to healthcare, this is a market we've seen rebound since COVID. It's always been a good market for us because all the things that make those top boxes complicated, complicated systems, lots of systems coming together is true in a hospital between the med gases, the electrical, the backup generation, the power quality monitoring, the building control systems.  Think about what goes into hospital. And that even goes beyond the hospitals we're trying to make more flexible, but also the outpatient facilities get more sophisticated every day. And it's in those hospitals and outpatient facilities. We also see an aftermarket opportunity that require the kind of services we offer, both with our mechanical services function, our aftermarket fire life safety business and also our site-based services.  To get to reshoring, nearshoring, I'd go from the bottom up, there automation is allowing industries even beyond what we talked about to be reshored. And they have to, right? We used -- we went from a world where multiple suppliers, multiple plants, it's one supplier, multiple plants. So we got into a really bad place in our supply chain, not us EMCOR, right? We buy other people's stuff of one plant supplying, and that might be in China and people aren't comfortable with that. And so COVID brought that to a head. People were thinking about it beforehand. We've been investing in being able to support those customers for 10 years now. So you're seeing a lot of capacity shifting across a range of industries from tire manufacturing to other automotive manufacturing, auto parts manufacturing to textiles even coming back through automation. So a host of industries are returning and they're doing it to do not only -- I would say, it's capacity hardening and expansion. And finally, one of my favorites because I've been around it for 25 years is energy efficiency and sustainability around that energy efficiency. And we are known for what we do in HVAC control system and lighting retrofits. When we bought ECM, they have that capability, too, but they also have water reduction capability. And it's something as simple as how you fix the faucets, how you use smart plumbing facilities -- plumbing fixtures. And that can have a big impact.  It's also helping our customers with their facilities footprint adjustment rationalization. It's making sure that folks can get the right utility rebates. It's adding in not on these massive utility scale solar or utility scale combined heat and power but local decentralized distributed generation.  These are typically things that are 1 megawatt or less that can help shave the load but also provide more energy security and energy reduction when combined together with an HVAC or lighting or control system retrofit. There's government incentives. There are utility incentives. Our folks are expert of that. And we've carved out a niche in that market of not only doing the work directly for the owners, but also supporting just about all the ESCOs as they bring their solutions to life.  And with that, I'm going to turn to Page 13 and sort of tie that into our RPOs on this page. Like we've said, this will show up by segment and market sector. We have great RPOs right now at $8.6 billion, right? That's a big level. It's up $1.5 billion from where we were in the year-ago period. And when they were $7.1 billion, we're pretty happy about that a year ago.  Additionally, the third quarter bookings were strong with RPOs increasing almost $350 million from June, which was 1 -- anyway, you look at that, that's about a 4% sequential increase. Each of our 5 segments saw RPO growth in third quarter from the year-ago period. Domestic construction services RPO, which includes fire protection life safety projects are up over $1.3 billion in line with strong project demand that we've seen all year. Building services, which are anchored by that energy efficiency box and other retrofit box we talked before. So our RPOs increased 16% over last year's third quarter.  RPOs by market sector tied back to the organic growth trends I talked on the previous page. If you zeroing on the actual activity, high-tech manufacturing, which includes those things, semiconductors, pharma, biotech, life sciences, R&D and the electric vehicle value chain, they're up $716 million or 113% from the year-ago period.  Network and communication, which includes our hyperscale data center work and our low voltage work stands at $1.4 billion. That's up 40% from third quarter of last year. We have over $1 billion in healthcare market sector RPOs as the hospital industry and the medical surgical patient industry continues to reshape post-pandemic. And they're also responding to demographic trends. We've discussed nearshoring and nearshoring and manufacturing. You see some of that in that high-tech manufacturing, but just traditional manufacturing, the way we think about it is up 30% year-over-year.  RPOs also grew in the water and wastewater. We've talked about that before in institutional, and that's up 29%. And that's really for us, focused on the water and wastewater side in Florida, where we have great capability in that growing state that struggles to keep up with demand with infrastructure. If you're offsetting this increase, we've had some reduction in commercial, but it's not what you think. It's warehouse projects. We're very active a year ago, especially with our fire protection and life safety but also our electrical. That's down. You'd expect that to be down right now. There's been a lot of build there. The cold storage is still pretty good as well as the transportation market sector that tends to be very episodic for us. And that will come back at some point, but it's not what's driving our results today. We're well positioned in the sectors with strong growth characteristics.  So to get ahead of you and your questions both for later in this call and also when you call us later to reiterate what we said on this call, we like our market mix, our contract mix and our margin mix and our RPOs. Now we've got to go execute. And hopefully, that all stays on track and scope doesn't expand and all that. I mean, all that sort of came together for us this quarter, but we do like our mix and backlog. If you go now, I'm going to be on Pages 14 to 16 to wrap this up. We've had exceptional performance this year. We had last year, too. And we're going to have another meaningful guidance increase. This results from favorable demand in strong end markets, coupled with excellent execution, strong project mix and timing and really a general absence of badness. We are raising our diluted EPS guidance based on our strong third quarter and year-to-date performance from a range of $10.75 to $11.25 to a range of $12.25 to $12.65 on a non-GAAP basis. We will also revise our revenue guidance. Approximately $12.5 billion. Now we had a range from $12 billion to $12.5 billion, we're going to be $12.5 billion now.  As reflected in our RPOs and as discussed previously, we continue to win work in important strategic market sectors. We are executing our work with efficiency, discipline and precision as shown by our record operating margin. We are utilizing technology in BIM, prefabrication. And we're doing a great job managing our labor and managing our supply chain. And we do all this with delivering -- an eye toward delivering great results for our customers first and as a result, we deliver for you, our shareholders.  As I stated earlier, it is important to remember that margins can fluctuate quarter-to-quarter based on the mix execution and timing of projects. We evaluate our margin performance, our operating margin performance in ranges, and we've talked about that over a period of time. And our performance in the current quarter has yielded margins, operating margins at or above the high end of our historical ranges.  Our team has shown great resilience in dealing with supply chain issues. They're still there. Lead times are terrible. And we continue to develop a strong bench from foreman to project managers to senior leadership. Further, we continue to attract notable talent from skilled labor through senior project and operations management.  However, there are always things you need to consider and be prudent. We do remain concerned with the financial risk to our customers around higher interest rates and macro uncertainties posed by the Ukraine war, the war between Hamas and Israel, turmoil in the oil and gas markets, which will only get worse from those things and the dysfunction occurring in the U.S. government, which may lead to a government shutdown or the inability to fund key pieces of legislation. Additionally, while we do not believe the UAW strike will significantly impact us or our current projects, it may slow the release of future work within the EV value chain. Despite these challenges, we believe that we will be able to navigate them as we have in the past. Our team has always shown great resiliency. However, we do need to remain cognizant of these external factors and the potential impact on our execution and performance. We're going to continue to be balanced capital allocators. There continues to be opportunity within our acquisition pipeline. And with uncertainty in the financial markets, we believe that our strong balance sheet helps us win work on large, sophisticated projects as customers see our financial strength as just another reason to choose EMCOR. As always, I want to thank our entire EMCOR team for their dedication and hard work. We appreciate all you do every day for our customers first at EMCOR. With that, Betsy, I'll take questions.
Operator: [Operator Instructions]. The first question today comes from Brent Thielman with D.A. Davidson.
Brent Thielman: Tony, maybe just coming back to Slide 12, when you think about -- you talked to the customers that comprise the markets that are all embedded in that slide. What do you think is the sensitivity to this interest rate environment? Because at this point, it doesn't seem like there's much.
Anthony Guzzi: I would agree with you. We haven't seen it in our bidding or our opportunities. I think if you're going to see it anywhere, right, you'll see it in places that have the most far-out opportunity and the most strain on balance sheets. There's probably better people than me to talk about where that will be. But really, I think we see pretty good demand across most of these. And I think that it'll important, Brent, I think part of what you're driving at is what you typically see as some of this work unfolds after the initial activity comes on a site is, in general, projects then get let in smaller amounts, right, because we're there.  And we're working with them to develop the add-on work and the next scope. So I think there's great demand in there yet. I think these are really good drivers, but nothing is literally up and to the right, right? There's always a little jags along the way. We haven't seen that recently, but history would say that, that will, in fact, happen. But the underlying drivers of this over a 5-year period should continue to be pretty strong.
Brent Thielman: Yes. Okay. And the profitability of the business group is obviously a real standout, Tony. I hear you, the mix of business can have an impact in any given quarter on the margin. When you think about some of these kind of prevailing markets like data center or kind of large-scale manufacturing projects, healthcare, I mean, all of these require a certain level of technical capabilities that you guys have. Is that what you're referring to in terms of mix? And I guess why wouldn't that sustain going forward?
Anthony Guzzi: Yes. I think it's mix, but also contractual terms. Mark's talked about that, and I've talked about this in the past. The same project could be done, some of them may change their contractual terms because they haven't developed the scope, they think they should. So we'll maybe getting a GMP environment instead of a fixed price environment because that's going to protect us the most or we may get in an environment where the design wasn't frozen. We haven't been able to get design assist. And as a result of that, profitability can be delayed, right, Mark, because we'll -- the way the change orders get booked.  So they can be a little chunky along the way. But clearly, where we do the best is when we know the work, we can do a fixed price contract, and we have more control of the schedule.
Mark Pompa: Yes. And Brent, the only thing I would add to Tony's comment with regards to mix is clearly scope of services. Tony has commented in past calls that the last couple of years, we've seen fairly sizable growth in our fire protection and life safety services. That work tends to have a better profitability profile than traditional mechanical services. Additionally, a lot of the work we're performing now, a lot of the equipment that we're installing is being procured by our customers. If more of the equipment scope comes back into our future work, the mark-up we get on equipment is certainly less than we get on our labor.  So that ultimately can impact margins when you're looking at them on a comparative period. It's still very good work. Certainly welcome the opportunity to perform all scope for our customers. But certainly, it changes the project profitability characteristics from a margin perspective.
Anthony Guzzi: Yes, and building on that, right? We -- at the profitability levels we're at, we are much more focused on margin dollars right now than we are margin percentages and the growth they're in. And we don't control necessarily how people decide to let contracts and what that contract structure could be. The other thing along that, that I would add is, one of the changes that's happened in the market, and I don't see this changing, Brent. If you go back 10, 12 years on some of these jobs, what people would have tried to do is they would have tried to take these projects and break them up into small pieces as they can, which causes massive coordination issues on the job and that allows more contractors to bid. So there's a couple of things that have happened, right? With the rise of BIM even more ubiquitous and more complicated, coupled with the demand for prefabrication because it's the best way to get labor efficiency and reduce the need for craft labor on a job because they have plenty of work to do anyway, that it's much more difficult to do that. And so you're really looking for sophisticated contractors to be part of the team earlier, and you're working together to develop the best solution for the customer where before that we might have not got involved till 70%, 80%, 90%, a lot of times we're getting involved 40% to 60%, and we're not completing design. What we're doing is completing the design for constructability with design assist. And that makes a big difference about what kind of people we're working with and who they can work with.
Brent Thielman: Okay. Very good. I guess my last question, I mean, your optimism here is duly noted, Tony. I guess any qualitative commentary you can offer for us on the outside looking in and how to think about the business into 2024? There's a lot of interesting drivers here. You expect the company to grow. I mean, anything that you can say about 2024 at this stage being a couple of months away here?
Anthony Guzzi: Yes. I mean we never give 2024 guide. You know that, and you're not asking for that. Actually, you're asking what's the external environment and how that could shape the environment we compete in.  Look, I think energy markets remain really uncertain. And all of the energy -- when I [indiscernible] sort of the wrong word, all the anxiety that we felt at the start of the Ukraine war, if this horrible situation in Israel becomes even more expanded and more difficult through the rest of the Middle East, it's going to have a similar or worse effect than what that Ukraine issue did on energy markets.  And so that could be a real issue, right, not only for us, right, as it's consumer of energy, we buy a lot of gasoline and diesel, but in the place that could happen therein, but also sort of what it does to global supply chains and the uncertainty around shipping. I mean, all of the things that come with that, right?  I also think that the other thing that could sort of dampen -- again, I don't think it dampens, right? We're sitting here with $8.6 billion of RPOs off of a $7.1 billion a year ago print, which I think even then was up 30% from the previous year. So we have good momentum in RPOs.  So it is what people's conviction going to be around sort of capital investment if inflation its ugly head because of labor costs and other people have or other things. So there's some macro indicators out there.  Interest rates, in my mind, aren't going down. I think that's what our team believes here. We're going to run our balance sheet very prudent. But for those that are more extended, right, there's a lot of people with a lot of debt out there. And as those debts come to maturity, that could have an impact.  But again, go back to our boxes and you think of our customers that are driving this right now. Data center customers, whether they be in build for use, which is one part of the market or those big customers are doing it themselves, they have cash, and they continue to generate cash.  They're not dependent on financing. Semiconductors because of who they are and who they're funded by even without our government funding are fairly good with cash. There, it's going to be a matter of as they commission the first fabs on these sites, what have they learned as they go to the second one, there could be delays. There always is. That could be an issue, right? So those customers are more cash rich. The pharma company is the same. Healthcare looks pretty healthy right now. They have a need to be able to put hospitals in the market, right? They just don't build a hospital. Someone has to tell them there's a certificate of need for you to build that hospital in this market and especially in markets where the demographics are shifting to, we continue to see that.  And then there's old hospitals, right? We're doing work at Mass General right now, great hospital but outdated facilities that they're rebuilding, and we're thrilled to be part of that. And so I feel good about it. If you're going to see it anywhere, you might start to see it in some of the energy efficiency work we do for our commercial customers. But they're going to be caught between things, right? Because if they don't make their buildings more energy efficient, they become harder to lease.  So there's a lot going on there. I feel pretty good about where we're at. But I think, in general, there could be some -- you see it in the warehousing, you'll probably see in retail something we don't serve very much is where you'll really see it, and then you'll get it with people with strained balance sheet, some of these private equity-owned assets that have a lot of debt on them.
Operator: [Operator Instructions]. The next question comes from Adam Thalhimer with Thompson, Davis.
Adam Thalhimer: Welcome, Andy. Look forward to meeting you. Actually, Tony, can I just keep going on your PE comment? Are you seeing them show up less on M&A opportunities? Finally...
Anthony Guzzi: No, not with the kind of deals we do. I think they look at the size we like to do $50 million to $200 million, I think they say, hey, there's a place we can put all equity. And the earth and heavens will come together, and we'll be able to finance this at a lower rate in the next 18 months. So we don't believe that. That's clearly what they believe.  So no, the answer is no. We really don't compete against them a lot. I mean, if someone really wants to go to PE, we're probably out in the first round anyway, we -- to get the great cultural fit and really understand the management team and it is a management team that's going to be there for the long term, sometimes that's not a great fit.
Adam Thalhimer: Okay. All right. I'm going to try to do this, going to ask a 3-part question. On RPOs, one, is there a point where you feel like you're too full? Two, are you starting to book jobs further out? And three, do you think some of the RPO growth is market share gains?
Anthony Guzzi: Yes. So I'll take the third one. I don't even think about market share, never have. Such a big market that 19 years, more 30 years, got 30 years, you guys ever look at market share? So you can take that one away. We don't think about it. We wouldn't know how to answer that question. Massive market, we're a small part of it.  Second one, are we too full? That becomes a question of what's the project, what's the size of the project, what's the timing of that project. So here's how I think about that.  Our governor has less to do with how we'll be able to fill skilled craft and technical labor. We'll find that. We've always found -- and we're a really great place to work. We've done a really good job staying ahead of the development of foreman and project managers. And then where we don't have them developed, being able to hire really good people from the outside. So if there's a slowdown in RPO, it's not because we don't think we can develop them. It's just the mix [indiscernible] right, these things come episodically. Rarely do you see a run like we've had over the last 2.5 years where RPOs just consistently grow, right? I mean, it tends to be more sought to in how RPOs grow. And the third part of the question, Mark, was?
Mark Pompa: Well, I think your question is further out. So 17% of our RPO balance is scheduled to be revenued beyond 12 months.
Anthony Guzzi: That's pretty consistent.
Mark Pompa: Actually might be on the low side, to be quite honest.
Anthony Guzzi: Data center work gets done quickly. These big jobs get done in 6 to 9 months sometimes.
Adam Thalhimer: Okay. And then there was a comment in the queue about small project quick turn risk, that's the biggest potential headwind, higher interest rates? Are you seeing that yet? I couldn't...
Mark Pompa: I'm sorry, Adam. I think history has shown us that when we're in a rising rate of economy with inflationary pressures, the easiest thing for people to curtail spending is small project work. To date, we haven't seen it clearly in our performance, but it's certainly we're certainly monitoring very closely.
Anthony Guzzi: Yes. I mean -- and there's a lot of things going on there right now that are different, right? That's where we've seen it in the past. What's different today is energy prices, and the paybacks are quicker. So how that all balances out over time, we'll see.
Adam Thalhimer: Okay. Lastly on industrial. Tony, you made a comment, you said something was robust, but the turnarounds were flat in Q4. So I didn't understand that.
Anthony Guzzi: Yes. So we have good -- I probably didn't say -- I might have said robust around our niche services. We continue to see demand for niche services like heater repair and things like that. We have good demand for our shop services, the best we've had since 2016, '17 in 6 years. So my view is robust, but robust is how I would describe the niche services.
Adam Thalhimer: Niche services, got it. And then are there any -- for that segment, do you see any new secular drivers? I'm thinking kind of 1, 2, 3 years out.
Anthony Guzzi: Well, I think one is where we're positioned, right? We're positioned on the Gulf Coast, where the refining capacity has the most advantages.  I think the second secular driver will be when we can get some renewable work back in the business on the electrical side. We've proven we had network really well, electrically. We're not putting panels in that, but we're actually connecting that field to the substation to the grid. So that would be one.  Another one would be upstream. We're positioned well in the Permian and Bakken specifically. And we expect both of them to have more robust opportunities here 1 to 3 years out.  And then there are some interesting opportunities around also how they're helping start to think about methane management for lack of a better word and what we can do to participate in that. And we are doing some things right now to do that as they start to think about how they bring more electrification into the well instead of using diesel generators.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tony Guzzi for any closing remarks.
Anthony Guzzi: All right. Thank you all very much. I guess we all won't talk together until February. So be well, have a great holiday season, and everybody be safe. And I guess, Happy Halloween, not one of my favorite holidays, but Happy Halloween.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.